Operator: Good morning and welcome to the Dollarama Fiscal 2023 Fourth Quarter Results, Full Year Results Conference Call. Neil Rossy, President and CEO; and J.P. Towner, CFO, will make a short presentation followed by a question-and-answer period, open exclusively to financial analysts. The press release, financial statements and management’s discussion and analysis are available at dollarama.com in the Investor Relations section, as well as on SEDAR. Before we start, I have been asked by Dollarama to read the following message regarding forward-looking statements. Dollarama’s remarks today may contain forward-looking statements about its current and future plans, expectations, intentions, results, levels of activity, performance, goals or achievements or any other future events or developments. Forward-looking statements are based on information currently available to management and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause actual results, levels of activity, performance, achievements, future events or developments to differ materially from those expressed or implied by the forward-looking statements. As a result, Dollarama cannot guarantee that any forward-looking statement will materialize and you are cautioned to not place undue reliance on these forward-looking statements. For additional information on the assumptions and risks, please consult the cautionary statements regarding forward-looking information contained in Dollarama’s MD&A dated March 29, 2023 available on SEDAR. Forward-looking statements represent management’s expectations as at March 29, 2023 and except as maybe required by law, Dollarama has no intention and undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. I would now like to turn the conference call over to Neil Rossy.
Neil Rossy: Thank you. Thank you, operator and good morning everyone. This morning, Dollarama released outstanding full year fiscal 2023 results meeting or exceeding annual guidance across all key metrics. We capped off the year on a particularly high note, delivering exceptional performance in the fourth quarter. Our strong operational and financial results reflect the continued positive consumer response to our year-round value proposition, which has only been reinforced in the context of high inflation. Our resilient and flexible business model enabled us to deliver from a procurement, operational and cost management perspective while navigating a dynamic environment. That dynamic environment included lingering supply chain dislocations, which had to be carefully managed. Through fiscal 2023, we were very proactive in rebuilding our inventory to pre-pandemic levels and in circumventing some of the delays in the system impacting all retailers, all while mitigating the impacts of rising freight and logistics costs. Working through this was no easy feat and I'm proud of the flexibility and capacity demonstrated by our procurement and logistics operations as we accomplished what we set out to do. We kept the goods flowing to our stores throughout the year, including for key seasons, and we successfully brought our inventory and in-stock positions back to acceptable levels by year-end. Our inventory position has also grown in tandem with our continued store network growth, strong same-store sales performance, and the introduction of higher price points. Fiscal 2023 marked the gradual rule out of new price points up to $5 beginning last summer, more than six years after our $4 price point introduction. To-date, this new retail offering has been very well received by customers, coast to coast. It has enabled us to offer new compelling SKUs. It has allowed us to bring back SKUs that were appreciated in the past, but discontinued because of prohibitive costs. In addition, it has enabled us to continue offering several SKUs despite rising costs. We will continue to provide a wide array of compelling products at each of our price points, ranging from $1 or less up to $5. And to refresh our products throughout the year, as we always have. We remain extremely disciplined in our pricing strategy across all price points item by item to preserve our year-round relative value. Turning now to our Canadian footprint, we opened 65 net new stores in fiscal 2023, consistent with the prior six years, bringing our Dollarama store account to 1,486 stores as at January 29, 2023. Going into fiscal 2024, we have a solid real estate pipeline with set opportunities across the country. Near-term, we are looking forward to the opening of our 15th hundredth net new store, making a significant milestone along our roadmap to reaching our long-term target of 2,000 stores in Canada by 2031. From a logistics perspective and in support of our long-term Canadian growth plans, we commissioned our seventh warehouse just before fiscal year end at approximately 500,000 square feet and located near our existing logistics operations, the Laval facility significantly increases our warehousing capacity. Finally, as discussed on our last earnings call, we intend to purchase strategically located industrial properties adjacent to our distribution center in TMR, providing us with additional flexibility to support our long-term logistics needs, that transaction is expected to close in the second quarter of fiscal 2024. On the technology front, we continue to deploy capital towards transformational IT projects to the benefit of the business. One notable example this year has been the digitization and centralization of our recruitment platform for our store operations, which we believe will increase our efficiency and recruitment efforts as we continue to open new stores across Canada and keep our stores staffed in a tight labor market. I am also pleased with our progress on the ESG front throughout the year, including the publication of our climate strategy last June, this included our first generation climate goal of a 25% GHG intensity reduction for Scope 1 and 2 emissions by 2030. This represents the first major step in our climate roadmap in the last year. We have already made very good progress towards achieving this goal, which we are tracking closely. We look forward to providing our next annual ESG update in just a few months. Turning to Latin America. Dollarcity continues to perform well meeting or exceeding our expectations in key performance metrics. Like Dollarama, the Dollarcity value proposition resonates with consumers in their LATAM markets, resulting in strong store sales growth and store opening cadence. With the opening of 90 net new stores in calendar 2022, their total store count is now $440. Dollarcity is making excellent progress towards its recently revised long-term store target of 850 stores by 2029 in its four current markets of operation. In conclusion, our outstanding performance in fiscal 2023 only reinforces the relevance of our value retail concept for consumers, the enduring strength of our unique business model and our disciplined execution. This is true for Dollarama in Canada and Dollarcity in Latin America. I would like to recognize and thank every Dollarama team member from our stores to our logistics operations and head office for their continued commitment to providing consumers with convenience and the best relative value on every dollar they spend in our stores. In the context of continued macroeconomic uncertainty and inflationary pressures on consumers, our priority is to remain and maintain our value promise to Canadians from all walks of life in Fiscal 2024. Our customers can continue to count on us. J.P. over to you to review our financial results in more detail.
J.P. Towner: Thank you, Neil, and good morning everyone. Let’s start with a quick overview of our exceptional fourth quarter results. Sales in Q4 grew 20.3% reaching nearly $1.5 billion. Same-store sales grew 15.9% supported by double-digit increase in transaction volumes. Our strong top line performance was driven by a number of factors including the absence of pandemic-related restrictions, the introduction of higher price points and the successful product refreshes across our offering. While the trade down by consumers, which accelerated throughout fiscal 2023 certainly boosted our consumable sales, our overall category mix remained quite stable and generally in line with the circle patterns. To illustrate based on retail sales, consumables were presented 42% of our mix in fiscal 2022 and 44% of our mix in fiscal 2023 and general merchandise and seasonal together continue to represent the majority of our total sales mix, two product categories, which is long made Dollarama a shopping destination. Gross margin was 44.6% of sales, compared to 45.2% in Q4 2022. The anticipated decrease reflects a slight change in the sales mix as described above and higher logistics costs related to our inventory rebuild. SG&A improved to 14.2% of sales, compared to 14.5% the same quarter last year. This improvement primarily reflects the absence of COVID-19-related costs. EBITDA increased by 18.8% and diluted EPS increased by 23% to $0.91 for the fourth quarter of fiscal 2023. At year-end inventory stood at $957 million. With a stabilized inventory position from Q3 to Q4, the vast majority of our inventory rebuild is now behind us. A few comments, on full year results and the financial metrics guidance we achieved before turning to the outlook for fiscal 2024. We delivered an outstanding sales performance throughout the year delivering on our value proposition, which resonated more than ever in a high inflation environment. This translated into SSS growth of 12% for the full fiscal year, exceeding our expectations of 9.5% to 10.5%. We maintain industry-leading gross margins of 43.5% of sales, compared to 43.9% in the prior year in line with guidance provided. SG&A came in at 14.3% of sales, compared to 15.1% for fiscal 2022 and improvement primarily driven by minimal COVID-19 costs and the positive scaling impact of strong sales also in line with our guidance. On the back of an acceleration in same-store sales, active gross margin management and a higher equity pickup from Dollarcity, we delivered strong earnings growth with diluted EPS up 27% to $2.76. Turning now to capital allocation. We remained active throughout the year on the NCIB front. In total, we repurchased 8.9 million shares for total cash consideration of $689 million during fiscal 2023. A cash dividend was also declared each quarter, and today, the board approved a 28% increase of the quarterly cash dividend to $0.0708 per share. CapEx came in at $157 million primarily due to the timing of the delivery of the racking of our new Laval warehouse, which will now fall under fiscal 2024 CapEx. In fiscal 2024, we will maintain a balanced approach to capital allocation by continuing to invest in organic growth and returning capital to shareholders. We intend to maintain our pace of net new store openings with the target of 60 to 70 net new stores for fiscal 2024, in addition to continued investments in maintenance and transformational capital projects. As such, we expect to deploy between $190 million and $200 million in CapEx in fiscal 2024. The year-over-year increase primarily reflects the remaining investments in our Laval warehouse. This CapEx budget excludes the $87 million property acquisition agreement anticipated to close by the second quarter. In addition to maintaining a dividend subject to quarterly approval, we intend to allocate our excess free cash flows toward the repurchase of shares through our NCIB. We continue to believe that this represents an appropriate and efficient use of excess cash to increase shareholder value. In the current macroeconomic environment, we will continue to actively manage our capital structure and anticipate that our leverage ratio will be below our historical target range of 2.75 to 3 times throughout fiscal 2024. Specifically in the current interest rate environment or after tax cost of debt compared to our earnings yield is not generating meaningful accretion. At year-end, our adjusted net debt to EBITDA ratio was 2.71 times. Turning to our financial performance guidance for fiscal 2024, on SSS, we expect that the first half of fiscal 2024, we will continue to benefit from strong demand for affordable everyday items in the context of continued inflationary pressures on consumers. Looking at our SSS performance in the first quarter of fiscal 2024, two months in, we are pacing the same two year SSS average as in Q4 of fiscal 2023. However, these demand trends are expected to normalize through the second half of the fiscal year. As a result, our SSS growth expectation for fiscal 2024 is in the range of 5% to 6%. While we anticipate higher demand for lower margin consumable products to carry over into fiscal 2024, lower freight costs and logistics costs on imported goods are expected to positively impact gross margins. We’ve definitely seen stabilization in global supply chains of late and believe we are in the final stages of its normalization. As such and based on our current visibility, we expect gross margin as a percentage of sales to improve year-over-year and to be in the range of 43.5% to 44.5% of sales. Wage pressures on SG&A will be more substantial in fiscal 2024 compared to the prior year, partially offset by the positive impact of scaling as well as ongoing efficiency initiatives. Accordingly, SG&A guidance for the full year is in the range of 14.7% to 15.2% of sales. Rotating challenges seem to have been the hallmark of the past few years. Our ability to consistently deliver through the pandemic, persistent supply chain issues, increasing economic and geopolitical instability and rapid inflation speaks to the relevance of our value promise and the resilience of our business model. These factors position us well for continued growth despite the uncertain economy context. That concludes our formal remarks, and I’ll turn it over to the operator for the Q&A.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] Our first question is from Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks and good morning, everyone. Great end to the year. Wondering if we could start please with what you’re seeing in terms of consumer demand for both consumables and GM seasonal and what the consumer response has been in particular to the higher price points.
Neil Rossy: Good morning, Irene. It’s been pretty even across most categories, slight strength, I guess or strengthening of our consumables more than the non-consumable category, but really we’ve seen an increase across all categories and the same for seasonal.
Irene Nattel: And price points now.
Neil Rossy: Price points also very well accepted and aligned with existing price points. So I think the gradual execution of the same relative value has been well accepted by our customers.
Irene Nattel: That’s great, thank you. And a couple of points of qualification, if I may, just around elements of the F2024 guidance, in particular, the SG&A quite an interesting step up. What factors are at play there and kind of what causes things to end up at one end or the other? And then on the NCIB, how should we be thinking about magnitude of NCIB and funding of NCIB in F2024?Thank you.
J.P. Towner: Okay, thanks, Irene. On SG&A, I think the first important point is to note that we’re still facing an extremely tight labor market. And I mean, we see unemployment rates where they are and they’re still fairly low levels. And the second half of fiscal 2023, we’ve seen an acceleration wage pressure, we talked about it on the last earnings call and we expect that trend to continue in fiscal 2024. I think we’ll be able to offset a portion of that through revenue scaling and efficiency initiatives, but there’s going to be a remaining impact to the bottom line. And what’s also important to note in addition to wage is that we’re seeing increased traffic in our stores, which means more hours spent on replenishing our inventory, replenishing our shelves. We’re also in the last innings of our inventory rebuild, which means the goods are making their way from our DC to the stores, which also requires more labor hours. But the vast majority of the SG&A increase is driven by the wage environment.
Irene Nattel: Thanks, J.P. and the NCIB?
J.P. Towner: On the NCIB, the first important comment is that we intend to remain very active on our NCIB program. When we talk in the press release and in my comments about the leveraging, it’s important to know that that’s not occurring as a result of our intent to pay down debt, but simply as a result of EBITDA growth, which will naturally bring our leverage down over the next few quarters. And when I say our leverage down, I mean, modestly down, I don’t expect our leverage to be in a completely different ZIP code, so we intend to remain very active on the buyback.
Irene Nattel: That’s great. Thank you.
J.P. Towner: Thanks, Irene.
Operator: Thank you. Our next question is from Brian Morrison with TD Securities. Please go ahead.
Brian Morrison: Thank you. On the NCIB, can I just clarify that that’s – so you’re simply going to finance through your surplus free cash flow. We should not expect any additional leverage to facilitate, correct?
J.P. Towner: That’s correct.
Brian Morrison: Thank you. I guess, maybe for Neil, when I think about inflation starting to decline and possibly a bit of a mix shift away from consumables, it’s clearly driving traffic right now. Is there a risk of seeding some of the market share you’re gaining or what steps or are there any steps you can intake – that you can take to ensure those gains are maintained?
Neil Rossy: I think the best way to ensure it is to make sure that the customers that we are gaining, if we are in fact gaining customers are satisfied that the lower prices that they’re paying for their goods are for goods that are equally good or better. And so as long as we continue to source and procure goods that satisfy our customers, level of quality control and assortment and we remain the best everyday value, we will likely keep many of those customers. But the risk is always there, of course, that when they’re in another store, when times are slightly less challenging that they’ll simply pay more. So we can only do so much, but I think the goal is to satisfy them in the sense that if they’ve come and they’re new and they buy and they’re satisfied and they’ve paid less, hopefully, they’ll be happy to pay less for.
Brian Morrison: Okay. Last question. J.P., Dollarcity new store growth should have been above the 8% equity income growth that you realized in Q4. Maybe just some details on the performance, be it sales or gross margin performance. What took place there? I would’ve expected it to be a slight bit higher.
J.P. Towner: Yes. So Q4 Dollarcity, we saw talent top line performance. The challenge was the inventory rebuild, like we had to go through in the second half of last year. So they faced some of those temporary challenges, but a good portion of that is behind them and behind us. So I think you can assume that if it weren’t for those challenges, you would’ve seen the higher net income pickup in Q4.
Brian Morrison: And that’s behind us now
J.P. Towner: For the vast majority.
Brian Morrison: Okay, great quarter. Thanks very much.
J.P. Towner: Thanks, Brian.
Operator: Thank you. Our next question is from George Doumet with Scotiabank. Please go ahead.
George Doumet: Yes, good morning, Neil, J.P., congrats on a good quarter. For me, it’s a two part question on the gross margins. How much of the 60 basis point compression was mixed versus the higher logistics cost in this quarter? And maybe looking at heads with fiscal 2024 guidance, is it more of a second half story and there’s a pretty large range in the guide? Maybe what factor is determined if we fall in the lower end or in the upper end of that range?
J.P. Towner: So when you look at the Q4 gross margin compression, it’s a mix of logistics and mix. And I’d say, it’s around 50-50. When you look at fiscal 2024 and you think about our guidance range, the big driver of course is number one, the mix. Keep in mind, the last year and the second half, we had the trade down happening. So we had the mix shift. And then in the first half of this year, assuming the trade down continues, there could be an impact on the mix. On the flip side, we entered into new ocean freight contracts at the end of Q4, which are in effect, and that will impact us positively throughout the year. So those are probably the two biggest drivers, the full year improvement in ocean freight cost and the mix story, which is a first half, second half story.
George Doumet: Thanks for that. And on the same-store sales guidance of 5% to 6%, what are you guys thinking in terms of transaction costs versus transaction sites for the year?
J.P. Towner: It’s very, very hard to tell. We’ve seen good traffic pick up on the good – on the back of the trade down and market share gains. As I said on the gross margin comment, a lot of that was weighted and skewed towards the second half. So there’s probability that’s more first half thing than a second half thing, but juries out and we’ll see how the year evolves.
George Doumet: Okay, thanks. Just one last one, if I may. On the step up in CapEx for fiscal 2024, should we think of that as a level to build off of going forward? Or is that maybe conduct come back to take down a little bit? And maybe for J.P. how can you think of working capital release if at all for fiscal 2024?
J.P. Towner: Yes. So on the CapEx, the envelope for last year, so fiscal 2023 was 160 to 170, we landed 157. That’s really the baseline. In fiscal 2024, we have some additional CapEx and therefore the racking of our Laval warehouse and all the finishes that will need to be made there. But the baseline is really fiscal 2023 levels. And then when you think about working capital, you sign from Q3 to Q4, we had a positive working capital influx from our inventory position that’s now stabilized. As we said in our remarks, a lot of the supply chain pressures are now behind us. That being said, anything that happened, but from what we’re seeing right now, we’re seeing a more stabilized supply chain. And therefore, if inventory stabilizes, you shouldn’t see the same type of working capital pressures as you send fiscal 2023.
George Doumet: Great. Thanks for your answers. I’ll get back. 
J.P. Towner: Thanks, George.
Operator: Thank you. Our next question is from Vishal Shreedhar with National Bank. Please go ahead.
Vishal Shreedhar: Hi, thanks for taking my questions. Just on your expectations for the year ahead on same-store sales growth. The 5% to 6% same-store sales growth, wouldn’t that functionally represents inflation in the system right now and wondering how management is thinking about real same-store sales growth. Does this outlook imply flat or negative real same-store sales growth, that same-store less inflation? That’s why I look into fiscal 2024?
Neil Rossy: Yes, our same-store sales growth assumption are based on a combination of traffic and basket and unit and price. But I think we're in an environment where on a real basis we've been fortunate enough as we talked about a bit earlier, to benefit from trade down and market share gains. So that would definitely be real SSS gains.
Vishal Shreedhar: Okay. With respect to the quarter, obviously, very strong, were there any transient events that that happened in the quarter that may have impacted demand or anything of any significance? Or was it – I don't want to say business as usual, but was it largely a smooth quarter in terms of demand trends?
Neil Rossy: I think business as usual is the best way to put.
Vishal Shreedhar: Okay. Okay. That's it for me. Thanks.
Operator: Thank you. Our next question is from Karen Short with Credit Suisse. Please go ahead.
Karen Short: Hi, thanks very much. Good to talk to you again. A couple questions for me on comp. So if I understood correctly, it sounds like your comp in 1Q in that kind of 14% to 15% range, so I guess is that accurate? But your full year guidance very much implies a slowdown in 2Q to 4Q on a one, two, and three year basis. So any color on that? And then can you give an update on what comp you need to leverage fixed costs given the higher wage scale, in fact you need that you guided to? And then I had one other quick question.
J.P. Towner: Yes, so on the comp, as I mentioned, we're continuing to pace at levels that are higher than our circle average. I'm not going to comment on our expectations for Q1 SSS, but the levels that we're seeing as of now are higher than the circle averages. In terms of what it means for the second half, as we mentioned, will be comping very strong SSS levels in the second half and therefore the comps will be more difficult than the second half of this year than they are in the first half. And that's baked in our 5% to 6% guidance range. On the scaling for SG&A, the magnitude of wage pressures and wage growth and when you compare that to our SSS assumptions, there's already some scaling embedded into it, but it's not enough to compensate for the wage headwind that we're facing in fiscal 2024.
Karen Short: Okay. That's helpful. And then obviously, you talked about inventory in detail, but how – what would be the right way to think about inventory growth in 2024, maybe on a per store basis? Or just how to think about it in general now that you've kind of accelerated the receipts and you're back to a little more normalized levels?
Neil Rossy: Yes, the way we look at it is from a turns perspective. So we look at the inventory turns what we're seeing in Q4 of fiscal 2023 is inventory turns returning to pre-pandemic levels. So more normalized levels when we were in the midst of the supply chain crisis, you start inventory turns going up significantly. So I would expect Q4 to be a decent gauge for how we think about the inventory turns going forward.
Karen Short: Okay. Thanks very much.
Neil Rossy: Thanks Karen.
Operator: Thank you. Our next question is from Chris Li with Desjardins. Please go ahead.
Chris Li: Good morning everyone. First question maybe for J.P., just on the SG&A the midpoint of your SG&A guide.
Neil Rossy: Sorry Chris, we just lost you. Chris, we'll circle back. Yes, we'll move to the next question
Operator: One moment please. Perfect. Mr. Li, please go ahead.
Chris Li: Hello.
Operator: Chris Li from Desjardins, please go ahead. Your line is now open.
Chris Li: Okay. Sorry. Can you hear me better now?
Neil Rossy: Yes.
Chris Li: Sorry about that. No, I just wanted to ask, first question is just on your SG&A guidance, the midpoint is around 14.9%, which is about sort of 14.2% pre-COVID. I guess, my question is, do you think sort of this is the new level given, structurally higher cost pressure because of higher wages, or do you expect the rate to improve over the longer term as you continue to – the benefit from the positive impact from scaling of the business?
J.P. Towner: It's too early to tell. I mean, we'll see how the year evolves. There's a factor, which is the labor market. There's another factor, which is our revenue growth and the scaling. So it's too early to tell if that's the trend for the long-term or if it's a yearly thing.
Chris Li: Okay. And then just on free cash flow, just based on your response to George's question earlier, can we assume that free cash flow for this year should be higher than last year?
J.P. Towner: We don't provide guidance as, you know, Chris on our free cash flows, but it's usually a function of our EBITDA in our CapEx envelope and I commented on our working capital. So I think you can derive the equation.
Chris Li: Okay, got you. And maybe last sort of modeling question is maybe on depreciation and amortization, I think last year was up around $35 million year-over-year. Again, directionally should we expect a similar pace of increase for this year?
J.P. Towner: Again, we don't provide guidance on depreciation and amortization, but keep in mind that it's function of CapEx, which is relatively in line with last year and it's function of store growth, which is also relatively in line with last year.
Chris Li: Okay, got it. And then maybe switching gears quickly to Dollarcity, I think a couple of quarters ago you've mentioned that your partners did not really have any intention to exercise to put option in the near-term. Just want to check in to see if that is still the case or if you can comment on that?
J.P. Towner: For now, that is still the case.
Chris Li: Perfect. And then maybe Neil just wanted to ask your question. You mentioned that you're seeing some consumer response to the new higher price points has been very strong. I was wondering if you can maybe unpack that first a little bit, where you seeing the strength and what metrics are you looking at? And maybe if you can share with us, within the higher price point, are the vast majority of them being sort of new products that you haven't sold before? Because based on our survey, I mean obviously that's what we're seeing, but we just want to confirm if that's the case, that these high price points are mostly new products that are really resonating with the consumers. Thank you.
Neil Rossy: So the vast majority are definitely new products as you've clearly noted. And they arrange across all departments in the store. I think that the strategy we've always tried to be very conscious of in order to not overwhelm both our customer nor our buyers with a pressure to specifically buy certain price points for certain categories. So we try to offer a range of values across all departments, and this is simply allowing the buying group to provide even greater values at higher price points, while maintaining our same relative value to the market on a new range of goods. And honestly, there's not any given department that really sticks out. So I would tell you it's quite.
Chris Li: Perfect. Thanks very much and all the best.
Neil Rossy: Thank you and you too.
Operator: Thank you. Our next question is from Martin Landry with Stifel. Please go ahead.
Martin Landry: Hi, good morning. I was wondering if you can talk a little bit about the rollout of your self-checkout terminals. Wondering if you can give us an update as to where you're at right now. How many locations have these terminals and what have you seen in terms of customer adoption?
Neil Rossy: So on self-checkouts, we've completed most of the retrofits on existing locations out of our existing store base. For new stores, it's really a store by store decision. I wouldn't expect self-checkout to apply it to all our new stores. It's really function of traffic and different shopping patterns that we analyze on a case by case basis.
Martin Landry: Okay. So is it fair to say that they're in your legacy stores – everywhere in your legacy stores?
Neil Rossy: No, no, they're in about 20% to 25% of our legacy stores.
Martin Landry: Okay. And what are you seeing in terms of impact on your labor costs with these self checkout terminals?
Neil Rossy: It's not a labor cost. It's not a labor cost thing, it's really a customer experience element. And so the focus is to given the transaction volume traffic growth that we saw pre-pandemic. And we're seeing now is to optimize the checkout lines and make the experience better for customers.
Martin Landry: Okay. And just moving on to your new store openings, you keep opening stores at a fast pace more than one a week. I was wondering where do you open your new stores? Are you going into smaller rural communities or are you going into new suburbs around fast growing cities like just an idea of to where are you putting new stores right now?
Neil Rossy: Well, much like our buying, our sourcing of properties is vast and varied and really it’s more question of opportunity than it is strategy per se. At this point, we’re interested in malls. We’re interested in strip centers. We’re interested in standalone buildings. We’re interested in any location that we think will increase the convenience to our customer base and not cannibalize existing stores. So our new store pipeline generally has a very mixed look with regards to the type of real estate opportunity and for the foreseeable future that remains the case.
Martin Landry: Okay. And my last question is on Dollarcity. I know you don’t give guidance on Dollarcity, but is there anything that you can mention or reiterate to help us and model Dollarcity this year in terms of cadence of earnings or anything that you want to just remind us?
Neil Rossy: I mean, a lot of the trends we’re seeing in Canada would apply to Dollarcity in terms of customer, shopping, patterns, and cadence. And in terms of store base for fiscal 2024, we think we’ll be able to open 60 to 70 net new stores at our Dollarcity locations.
Martin Landry: Okay. That’s helpful. Thank you.
Neil Rossy: Thank you.
Operator: Thank you. Our next question is from Peter Sklar with BMO Capital Markets. Please go ahead.
Peter Sklar: Neil, these like very high traffic trends that you’re experiencing, like, do you have a feel, is it people coming back to shop more frequently or are you attracting – do you think you’re attracting new customers like immigrants or are you going to say all of the above?
Neil Rossy: Well, I would say that if immigrants are landing in Canada and Mercedes-Benz and as well as walking, then it’s only immigrants. But otherwise, I would say it’s all of the above. We really do see just a general trend in interest, in checking the value that we’ve always offered to different groups of people that may not have felt any need to shop at a Dollarama although that breaks my heart. And so it’s everyone, it’s general – it’s a general thing across the Board and really the hopes are that they enjoy the experience, they enjoy the value of the shop and the goods they’re buying, and that we keep as many as we can.
Peter Sklar: Okay. Last question on a different topic. This dividend increase you had of 28% is an extraordinary increase. Can you talk a little bit about the thinking of management in the Board and why you went for such a substantial increase?
J.P. Towner: Yes. We don’t have a formal dividend policy, but we try and we’ve done it in the past. When we have strong EPS growth, we try and maintain a payout that’s generally in line with historical levels. So that’s the thing in process. We had strong EPS growth and we want to keep a payout that makes sense and have a balanced capital allocation.
Peter Sklar: Okay. And J.P., what – how do you think about the dividend payout ratio? What’s your target range?
J.P. Towner: There’s no target range. We – it’s a year by year decision. We don’t have a formal dividend policy. So – but we felt that this year was appropriate to maintain it in line with historical levels.
Peter Sklar: Okay. Thank you.
J.P. Towner: Thanks, Peter.
Neil Rossy: Thank you.
Operator: Thank you. Our next question is from Edward Kelly with Wells Fargo. Please go ahead.
Edward Kelly: Hi everyone, good morning. I wanted to just start on the labor front, wage front, and really just taking a step back on a multi-year outlook, and I guess the first part of this is as you think about the wage investment that you are now making, how much of that is in response to sort of like turnover applicant flow versus just market? How do you feel about where you’re going in your average hourly rate? And then as we look sort of beyond the current year is wage inflation just going to be dictated by market or do you have a bit more company specific work that you’re looking to do as we think about even the out year?
J.P. Towner: Yes. So the turnover and the market question are related because turnover is function of market and we compete in a global labor market across Canada. So we always strive to pay competitive wages. And so we adapt to the market as the market evolves. We’ve seen as we mentioned wage growth acceleration in the second half of this year, and we’re adapting to that, and that’s reflected in our guidance. So that’s really the thinking behind this. There’s no anything special or anything more than just the current market environment like many other retailers have discussed.
Neil Rossy: And to be clear, we realize that our employees at store level associates in particular, it’s really an entry job. There will always be turnover, and it is a first job for many people. So the focus of the company is to ensure that the environment’s safe, it’s positive that there’s career opportunities and that, that it’s a great job. And even though it’s not a very high paying job, it’s a job that they enjoy within the constraints of the salaries that one can earn as an entry level job. So it really is a priority for the company to ensure that regardless of pay, those employees are enjoying the experience and that we’re providing a – the proper environment.
Edward Kelly: Okay. Great. And just on the freight component, you’ve talked about you’ve signed a new contracts. How does that roll into the year? Is that more of a sort of Q3, Q4 story that wraps into the out year or do you begin to see some of that immediately in Q1?
J.P. Towner: Yes. As we mentioned last year around the same time those contracts are for the vast majority renewed at the end of Q4, and it trickles in throughout Q1. And you start seeing the impact in Q2 and the second half of the year.
Edward Kelly: Great. Just one last one for you on store openings, you’ve been pretty steady at the 65 number. It’s interesting, right? Five years ago that was sort of 5.5%, 6% growth. It’s now down to sort of like low 4%. Any thoughts on how that opening number evolves over time? Is that just the number that you’re comfortable with or is there opportunity for that to go higher?
J.P. Towner: Well, it’s the number that allows us to, number one, achieve our growth ambitions with our store target. But more importantly, it’s also the number that the real estate market can achieve in our segment in Canada and we think is reasonable. So we always adjust and function of debt real estate market and how it’s moving, but it’s been a steady pace for the past few years and a place where we feel comfortable and the market feels comfortable absorbing our square footage demand.
Edward Kelly: Great. Thank you.
J.P. Towner: Thanks.
Operator: Thank you. Our next question is from Derek Dley with Canaccord Genuity. Please go ahead.
Derek Dley: Yes. Hi, congrats on the strong quarter. Just a question on the freight and logistics cost. Can you quantify what the headwind from freight and logistics was during the quarter or during the year?
Neil Rossy: No. The – all that is baked in our gross margin guidance. And so we’re pleased with our gross margin being flat to up 1% and it’s all embedded in those assumptions.
Derek Dley: Okay. Okay. Thanks. I thought I would try there. Just on the inventory, is most of that inventory or the vast majority of that inventory that you have on the balance sheet now in the DCs or in the stores, or is there still a component of it that’s in-transit like there was last quarter?
Neil Rossy: The bulk of it’s in the warehouses and the – flowing through the distribution center to the stores, but the answer is the bulk of it’s in the warehouse.
Derek Dley: Okay. Okay. Thanks. And then just following up on one of the questions earlier, have you been introducing any sort of different store sizes or formats within the new store rollouts that you’ve been having? Or should we still be thinking about new stores as you know roughly just over 10,000 square foot boxes.
Neil Rossy: That’s the right way to look at it.
Derek Dley: Okay. Great. Thank you very much.
Neil Rossy: Thank you very much.
Operator: Thank you. There are no further questions registered at this time. This will conclude today’s conference. Please disconnect your lines at this time and we thank you for your participation.